Operator: Good day, ladies and gentlemen and welcome to the Ethan Allen First Quarter Fiscal Year 2015 Earnings Release conference call. (Operator Instructions) I would now like to introduce your host for today’s program, Mr. Corey Whitely, please go ahead.
Corey Whitely: Thank you, Jonathan and good morning everyone. This is Corey Whitely Executive Vice President, Administration and Chief Financial Officer for Ethan Allen. Welcome to Ethan Allen’s earning conference call for our 2015 first fiscal quarter ended September 30, 2014. This call is being webcast live on ethanallen.com, where you will also find our press release, which contains supporting details, including reconciliations of non-GAAP information referred to in the release and on this call. Our comments today will include forward-looking statements that are subject to risks, which could cause actual results to differ materially from those expected when making such forward-looking statements. Please refer to our SEC filings for a complete review of those risks. The company assumes no obligation to update or revise any forward-looking matters discussed during this call. Also joining the call today is John Bedford, our Vice President, Corporate Controller. After our Chairman and CEO, Farooq Kathwari provides his opening remarks I will follow with details on the financial results. Farooq will then provide further updates on our ongoing business initiatives before opening up the telephone lines for questions. With that, here is Farooq Kathwari.
Farooq Kathwari: Thank you Corey and thank you for participating in our first quarter ended September 30, 2014 earnings call. I’m pleased to be taking this call from our upholstery manufacturing operations in Mexico and I’m joined with number of our associates here. We continued our progress in many areas included in the financial area as we reported sales increased 5% to 190.7 million, both wholesale and retail performed well, our wholesale did well especially with increased sales to our international licensees and to our retail network or independence and company retail division. Adjusted earnings per share increased 33.3% to $0.44 compared with earnings per share of $0.33 in the previous year reflecting the leverage of our vertically integrated structure and control of our operating expenses. Adjusted Operating Income of $21.9 million increased 30.4% compared to first quarter of fiscal 2014; adjusted operating income reflect adjustment for $1.4 million loss on vacant properties sales. Gross margin increased 60 basis points to 55%. Comparable written sales for the retail division increased 0.8% for the first quarter after 13.8% increase in last year. In addition this year, clearance sales amounted to 9.6% of sales in the quarter impacting both written sales and margins. Our balance sheet remains strong with cash an equivalent of $135.2 million I am pleased that as we announced yesterday a new credit facility of $115 million made up of $100 million revolving credit lines and $50 million in term loan availability. The new facility matures October 21, 2019. We intend to use the proceeds for general corporate purposes and to refinance the senior notes which are due October 1, 2015. As you know, we are vertically integrated company. We are not an assembler of other people's products. We have bit over about 2000 interior designer associates and over 70% of our products made in our own North American plants and I am talking of furniture. We go from the concept of five years to design to manufacture, to retail and logistics. During the last few years, we have taken many steps to position us for the next phase of growth and after Corey provides a more detailed overview of our financials I will discuss our initiatives in order for us to continue to grow our revenues and profits and with that Corey.
Corey Whitely: Yes, thank you Farooq. For the first quarter of fiscal 2015, consolidated net sales of $190.7 million increased 5% compared to the first quarter of fiscal 2014. Adjusted operating income increased 30.4% to $21.9 million compared to $16.8 million in the prior year first quarter. With adjusted operating margin of 11.5% improved compared to 9.2% in the first quarter fiscal 2014. Adjusted net income of $12.8 million increased 34.3% over the prior year first quarter. Wholesale net sales of $124.6 million increased 10.1% during the first quarter of fiscal 2015 compared to the first quarter of fiscal 2014. The retail segment net sales increased 2.3% for the quarter at $145 million compared to $141.8 million in the prior year first quarter. Both segments benefited from sell through of clearance sales and utilizing our stronger inventory positions on our expanded selection of in-stock products. The consolidated gross margin improved to 55.0% for the first quarter of fiscal 2015 from 54.4% in the prior year first quarter. Total written orders by the retail segment for the first quarter of fiscal 2015 decreased 0.7% compared to the first quarter of fiscal 2014 while comparable written orders increased 0.8%. There were 143 company operated design centers this year compared to 147 in the prior year quarter. Clearance sales account for 9.6% of retail sales for the first quarter compared to 7.1% in the prior year first quarter. Our global retail network included 294 design centers at September 30 compared to 297 in the prior year. Independent retailers operated 151 design centers including 92 international locations. This compares with 150 independently operated last year including 88 international locations. Our global retail network had a total of 100 international locations at September 30, 2014 and 96 in the prior year. Our adjusted results in the first quarter of fiscal 2015 exclude $1.4 million of losses from the sale of excess real estate. The prior year first quarter adjusted results excluded $0.6 million of international start-up losses and a $0.2 million of real estate losses. Our effective income tax rate for the current was 36.6% and the prior year quarter was approximately 36.2%. We expect our normalized future tax rate to be approximately 36.5%. Adjusted earnings per diluted share for the first quarter of fiscal 2015 were $0.44 which is 33.3% higher than the $0.33 per diluted share earned in the prior year first quarter. Please refer to our press release reconciliation tables showing the adjustments made to our results for all periods. GAAP net income for the quarter ended September 30, 2015 was $11.1 million or $0.41 per diluted share compared with $9 million or $0.31 per diluted share in the prior year quarter. Our balance sheet and liquidity improved this year. Our cash and securities at September 30, 2014 totaled 135.2 million, an increase of 13% from the prior year approximately 129 million of our senior notes remain outstanding and are due October 1, 2015. As we announced yesterday we have entered into a new five year $115 million credit facility. The company intends to use the proceeds of the new credit facility for working capital and general corporate purposes and to refinance the outstanding senior notes. Under the new facility, our $100 million revolver remains undrawn with approximately 600,000 in standby letters of credit outstanding and 99.4 million in availability. The new revolver also has 15 million Acadian feature. Our terminal availability of up to 15 million is also undrawn and has six month draw period. The company intends to draw on the term loan simultaneous with the retirement of our outstanding senior notes within this six month period. Our inventory at September 30, 2014 of 157.5 million increased from 141.7 million in the prior year as planned to support our new product launch including an expanded assortment of in stock products. Our capital expenditures for the first quarter totaled 5.4 million and depreciation and amortization was 4.7 million. With that, I will pass it back over to Farooq.
Farooq Kathwari: Competitive advantage as we move forward. In our first quarter we decided to hold increasing our advertising expenditures, actually reducing them by about a million dollar from previous year of first quarter and we were in the process of transition in getting the new products to our design centers in the renovation design centers and in addition our new website was launched in mid October and is a major milestone for us after two years of investments now we are more ready and our plan in the second quarter is to increase our advertising expenditures by about 40% over what we spent last year in second quarter. We plan to increase spending in direct mail, national television, shelter magazines, local and retail advertising and digital mediums. And we go forward, we plan aggressively increase our marketing efforts. We also being in the mid stop, renovate in our design centers across the country and also now developing plans to implement in international markets. Most of the renovations in our North American design centers are expected to be completed by the end of our second quarter. In this regard, we also continue to sale floor samples and discontinued products on a plan basis. As we reported 9.6% of total sales in first quarter was clearance products. We expect somewhat about the same or slightly lower amount in the second quarter as well. We also continue to open new design centers internationally and domestic and in North America. During the last few months, we have opened new relocated design centers in Cleveland, New Jersey, in Amman, Jordan, the second location, four were opened in China. We opened in New Jersey, Houston, international markets also and during the next few months we plan to open new design centers our second in Dubai, first in Doha, Qatar and several in – and number of locations in China. We also plan to open our third in Manila Philippines, as I mentioned we are in Doha and Dubai. We also plan to have relocation in Las Vegas, in Pittsburgh, in upstate New York, in Philadelphia, and second one in Pittsburgh as well. And again our focus in North America basically has been in terms of. Yes, thank you Corey. As I mentioned earlier we are vertically integrated enterprise giving us an opportunity to develop proprietary products, controlled quality, design and value. In addition we provide professional service, personal professional service through our interior design associates about 15,000 in North America and about 15,000 internationally. A brief status of our important initiatives. Our product offerings we are in the mix – major makeover of our product offerings. About 80% of the new products were received by our network in September and October and by early November the new products will be substantially enter in our design centers. Our next major introduction is scheduled for late spring of 2015. We have continued to expand our manufacturing capabilities in North America and now about 70% of our furniture product is made in our North American facilities and we expect it to continue to grow. This focus of North American manufacturing is a major undertaking and we believe it gives us even more of a competitive advantage as we move forward. In our first quarter we decided to hold increasing our advertising expenditures, actually reducing them by about a million dollar from previous year of first quarter and we were in the process of transition in getting the new products to our design centers in the renovation of our design centers and in addition our new website was launched in mid October and is a major milestone for us after two years of investments now we are more ready and our plan in the second quarter is to increase our advertising expenditures by about 40% over what we spent last year in second quarter. We plan to increase spending in direct mail, national television, shelter magazines, local and retail advertising and digital mediums. And we go forward, we plan aggressively increase our marketing efforts. We also being in the mid stop, renovate in our design centers across the country and also now developing plans to implement in international markets. Most of the renovations in our North American design centers are expected to be completed by the end of our second quarter. In this regard, we also continue to sale floor samples and discontinued products on a plan basis. As we reported 9.6% of total sales in first quarter for clearance products. We expect somewhat about the same or slightly lower amount in the second quarter as well. We also continue to open new design centers internationally and domestic and in North America. During the last few months, we have opened new relocated design centers in Cleveland, New Jersey, in Amman, Jordan, the second location, four were opened in China. We opened in New Jersey, Houston, international markets also (inaudible) and during the next few months we plan to open new design centers our second in Dubai, first in Doha, Qatar and several in – and number of locations in China. We also plan to open our third in Manila Philippines, as I mentioned we are in Doha and Dubai. We also plan to have relocation in Las Vegas, in Pittsburgh, in upstate New York, in Philadelphia, in island second one in Pittsburgh as well. And again our focus in North America basically has been in terms of opening up new design centers. And finally, the focus on adding technology in manufacturing, logistics and retail is an ongoing process. We are pleased our new website is launched as we know that most customers and potential customers visit our website prior to interacting with our professional interior design associates combining technology with the personal services of our interior design associates is a critical importance to grow our business. With this brief overview I will like to open for comments and questions.
Operator: [Operator instructions] Our first question or comment comes from the line of Jessica Schoen Mace from Nomura Securities. Your question please.
Jessica Schoen Mace – Nomura Securities: Hi! Good morning. My question is about I was wondering if you could give us a little bit more timing with regard to the role out of the new product launch especially what sort of impact we might be able to see or should see in the written orders in the customer deposits at the end of the quarter and maybe any feedback that you received in the month of October so far.
Farooq Kathwari: Yes. Our new product started getting into your design centers in September and about I would say by 70% or so of them were also there by the middle of October and by end of October, early November, we will have all the new products that we introduced in our June conference to be in our design centers. At the same time, we have been making renovations to our design centers well, in fact design centers have been painted, many of them have new floors. We have improved our lighting. We have improved the exterior. So I would say that from October and November, these are two important months should give us an opportunity through our advertising, to help us increase our sales. Now obviously we cannot make comments of what is going to happen but we do expect that our written business should be positively impacted by the new products as well as our advertising efforts.
Jessica Schoen Mace – Nomura Securities: All right. Thank you. And then my second question is on gross margin. I was just wondering if you talk about a few of the drivers that offset the impact of the higher amount of clearance in the quarter as well as retail becoming a smaller portion of the overall sale. Thank you.
Farooq Kathwari: Yes. On the wholesale side, we benefited from higher volumes. And again because the vertical integration, higher volumes did offset some of the issues relating to new products being made for the first time in our manufacturing. So that was I think that the increase in volume. Second one is we got a very, very good group of people in our manufacturing and they are doing a great job of considering all the challenges we threw at them. And the third factor was our price increase that we took in the summer.
Jessica Schoen Mace – Nomura Securities: Thanks very much for taking the questions.
Farooq Kathwari: Alright. Thank you.
Operator: Thank you. Our next question comes from the line of Todd Schwartzman from Sidoti & Company . Your question please.
Todd Schwartzman – Sidoti & Company: Good morning gentlemen. My question really I like to talk about price promotions not clearance sales but clearance merchandise but rather ongoing products including maybe even some of the newest ones if that applies, what is the promotional landscape in October look like versus prior quarter with respect to with the percentage of ongoing items on the floor that are on sale?
Farooq Kathwari: Yes Todd, as we know that there is a lot of promotional activity taking place in all categories including home furnishings. We have tried to very hard to maintain lower promotional pricing because of the fact we start with an everyday best price was a creditable price. So we are to reduce our prices is pretty tough. Having said this, we have in October for instance, we are offering savings from anyway from 10% to 20% in different categories. So we have compared to last year to some degree increased our -- you might say special offerings and that also happened also in the first quarter as well. Now combining our efficiencies in manufacturing also operating, maintaining our controlled and operating expenses and the price increase has to some degree offset this you might say higher promotional activity Todd.
Todd Schwartzman – Sidoti & Company: So with that in mind Farooq, how should we think about modeling the gross margin Q2 compared with the first quarter?
Farooq Kathwari: I would say that we will continue to of course we have been under pressure but we have done well, so we will continue to be under pressure in the gross margins in the second quarter because of the fact as I said we still have approximately about the same number of – about the same amount of products to sell on clearance because what we did in the first quarter while it was 9.6% really we should have sold more but we decided not to overwhelm our markets with a lot of clearance. So it also was important for us to make sure that we don't sell our floor samples before getting the new products in. So we have been managing that as well. So I would say that keep that perspective in mind and in operating expenses also keep in mind you folks want us to spend more in advertising which I am doing which means our operating expenses are going to go up. And so keep that in perspective in mind too Todd.
Todd Schwartzman – Sidoti & Company: Now with that increase that’s 40% year-over-year hike in advertising expenses that you mentioned earlier, does that bring SG&A to a mid 80s kind of number 85, 87 versus 82, 83?
Farooq Kathwari: Corey, any comments on that or John. I mean I think Todd we have to look at that to see but keep that perspective in mind it's approximately will be spending anywhere from – between $2 million and $3 million more.
Todd Schwartzman – Sidoti & Company: And I think you – that really doesn’t seem to differ too much from what you have been telegraphing for the last six months or so but what if any offsets within operating expenses might there be?
Corey Whitely: There is not going to be a lot of this. We are running a pretty lean operation when we spend the funding, we got to increase sales so that we can increase an overall gross margins so that’s what we got to pay for it.
Todd Schwartzman – Sidoti & Company: Okay and it looks like you didn’t buy back any shares in the quarter is that correct?
Corey Whitely: That’s right. Yes.
Todd Schwartzman – Sidoti & Company: And what about this quarter today, the stock is dipped to the 23 level there for a while? Have you been active at all?
Corey Whitely: No we have not because at this stage as you know our objective was to make sure that we create a strong capital structure and with this financing in place we are in good place now as we move forward.
Todd Schwartzman – Sidoti & Company: Got it. And also you would – you talked about the -- with the new product program coming in the spring of 2015, I guess I will take the bay there, what's up next?
Corey Whitely: It's a great product but it's confidential.
Todd Schwartzman – Sidoti & Company: Okay. Alright. Thanks a lot.
Farooq Kathwari: Thanks Todd.
Operator: Thank you. Our next question comes from the line of Jeremy Hamblin from Dougherty & Company. Your question please.
Farooq Kathwari: Hi Jeremy, good morning.
Jeremy Hamblin – Dougherty & Company: Good morning guys and congratulations on the strong results. Thank you for taking my question. I just want to clarify on the new credit facility which is undrawn at this point if I am doing the math right, it looks like you would be saving even if you drew on the whole 150 million somewhere between 2 million and 3 million in pre-tax based on the change in interest rates so I have a math about correct.
Farooq Kathwari: Yes, your math is correct Jeremy in fact our objective is to draw on the term and utilize some of our funds which we keep at the banks and they don’t give us any returns.
Jeremy Hamblin – Dougherty & Company: So in other words you may actually not even use the whole revolver side of that loan?
Farooq Kathwari: That’s right. Once we have drawn it and our objective is to reduce our – it is possible that we reduce our interest expense between $3.5 million and $4 million.
Jeremy Hamblin – Dougherty & Company: Okay. Well, $3.5 million to $4 million and that’s on a pretax basis, correct?
Farooq Kathwari: That’s right. Corey, is that correct?
Corey Whitely: Yes, that’s correct Farooq.
Farooq Kathwari: All right. Go ahead Jeremy.
Jeremy Hamblin – Dougherty & Company: Okay, great. And then just in terms of coming back to the gross margins which I think were surprisingly strong and putting in the context which sounds like clearance selling was about 10% of sales and you are saying that that’s going to be, may be a similar level in Q2, can you give me some historical context what it would have been last year or what would it be normally be in Q1, it’s a something like half of that in terms of clearance as a percent of selling.
Farooq Kathwari: Yes, less than half.
Jeremy Hamblin – Dougherty & Company: Less than half, okay. And so, if I then moved up forward into the second half of the year and you have made a lot more progress and getting the new goods in, moving out some of the clearance items and for samples would that imply that you simply have a little bit higher gross margins that you can achieve because clearly there is a lot of reasons why gross margin should have been dragging down a little bit more in that you do 55% gross margin is that just from the manufacturing improvements that you have been making over the last couple of years?
Farooq Kathwari: It is a combination of a lot of factors, it is manufacturing, it is also the fact that we moderated the products that we sold on clearance in the first quarter in our retail, so our retail gross margins were not as lower as one would have had if we have had higher clearance. Going forward in the third quarter I think our clearance is going to be less than 5% or in that range and going into the fourth quarter maybe less than 5%.
Jeremy Hamblin – Dougherty & Company: So in other words, the opportunity assuming that you guys can drive the sales would be that there is maybe a little bit more opportunity in the second half of your fiscal year and gross margins then in the first half, is that a correct read?
Farooq Kathwari: Jeremy, there is lot of moving box.
Jeremy Hamblin – Dougherty & Company: No, I understand that.
Farooq Kathwari: I would not, I would be somewhat, I would be cautious of not maintaining what we have done is a big challenge.
Jeremy Hamblin – Dougherty & Company: Okay. All right, thank you for taking my questions. I will jump back in the queue.
Farooq Kathwari: Thanks Jeremy.
Operator: Thank you. Our next question comes from the line of Budd Bugatch from Raymond James, your question please.
Farooq Kathwari: Hi Budd. Good morning Budd.
Budd Bugatch – Raymond James: Good morning Farooq, good morning Corey. I guess I’m trying to get – do the walk from the 54.4% gross margin last year, the 60 basis points to the 55, we’ve got maybe I just ask the questions pointedly, can you give us the impact of the price increase on gross margin in this quarter and how much of that effected for the entire quarter?
Farooq Kathwari: Let’s look at those numbers but to see how much we can share and then if that is the case we will share it.
Budd Bugatch – Raymond James: Okay. What about the clearance? You did – the clearance that bears 100 basis points from gross margin to the down side? Kind of a really number, I kind of take down.
Farooq Kathwari: Corey, any comments on that?
Corey Whitely: On the clearance side it was really a combination of – for retail having both price increase, the clearance had some draw down on the margin because of – they also showed a lot of the -- price of the new products and really therefore that our sale pricing. So it’s to really add that, it’s hard to get the breakout between clearance and the price increase in the regular product.
Farooq Kathwari: That also – major increase in our wholesale business which as I said reflected sale, we had also good increase in sales international markets. We have opened up a number of new design centers of which product was shifted whether it was in the second location in Dubai, the first was in Doha, four new locations in China, so those were also to our licensees. And in that so as you know when we are increasing the wholesale we then do – we have to eliminate that part that goes into our retail which is not sold to the ultimate customer. However, we did have a good business in the wholesale, increase in wholesale does have a positive impact on our gross margins. So that really was one of the major factors but…
Budd Bugatch – Raymond James: You are right -- the gross margin and wholesale looks like it has to be really good with the 17% plus operating margin at the – in the wholesale side., so I expected that with the 80% shipment of the new growth irrespective of the inefficiencies of trying to make the new (inaudible) big improvement in gross margin wholesale sort of maybe we -- it by gross margin changes in, retail changes…
Farooq Kathwari: As you know volume takes get lot of things.
Budd Bugatch – Raymond James: Oh, yes. Right. Any numbers for those lot of things.
Farooq Kathwari: Let's take a look at it see I don't want to just give numbers, let's take a look at it what we can and then we will get back.
Budd Bugatch – Raymond James: Okay. China inventory was an issue I think last year, we don't have better as you said, they’ve opened the four new stores so any commentary on what percentage of sale might have been international you used to disclose that all I think we can get that any more in the queues.
Farooq Kathwari: I think Corey are we disclosing the queues?
Corey Whitely: We do so in the queue the international sales, yes. The international net sales as a percentage of our consolidated net sales were 12.1% for the first quarter.
Budd Bugatch – Raymond James: Versus what?
Corey Whitely: 9.8% in the comparable prior year period.
Budd Bugatch – Raymond James: Great.
Farooq Kathwari: But to answer your question, on China inventory issues they are actually doing well and in fact they also mentioned they are – they have fairly aggressive plan of opening new stores and even renovating the one that they have. So very aggressive, positive to influence internationally specially China.
Budd Bugatch – Raymond James: Yes, I have heard that’s what’s going over there. I am guilty of wanting you to increase advertising I think you have got a upside retail business and I want more people to be able to test that so I am guilty of that as charge you said you are going to spend 40% more in the I think in the second quarter than you did last year, can you tell us what you spent last year in advertising in the second quarter?
Farooq Kathwari: I don't have the numbers – just one second. I will tell you what it is yes. Corey of course has the number too, they are in January and Corey what do we do – we report on our advertising spent?
Corey Whitely: I am just looking for the number here to see if I have it Farooq.
Farooq Kathwari: Approximately $7 million I think we spent; $6 million or $7 million we are going to have 40% more high in that but Corey will look at the right number. I don't have in front of me. But it would be approximately 40% more or between $6 million and $7 million that we spent last year.
Budd Bugatch – Raymond James: Great. Farooq, you know how much I think about the way the business has run, congratulations on just terrific performance at the net profit line and good luck on the second quarter and the best balance of the year.
Farooq Kathwari: And Budd, long terms you folks have spend more time thinking about profits, you only think about sales, lot of folks have sales no profit. I am thinking – I am focused more on profits and sales. Both are important.
Budd Bugatch – Raymond James: I agree with that Farooq, nothing happens until somebody sales something but you do have to bring up to the bottom line and you do a terrific job at that for sure. Thank you.
Farooq Kathwari: Alright Budd, thanks.
Operator: Thank you. Our next question comes from the line of Kristine Koerber from Barrington Research. Your question please.
Farooq Kathwari: Yes. Hi Kristine, good morning.
Kristine Koerber – Barrington Research: Hi Farooq. Good morning. So the couple of questions. First just the follow-up on the advertising I believe you said in the past overall ads spent was going to be up probably close to $10 million, is any change to that. I know obviously you have increased in Q2 but beyond Q2 should we expect more advertising spent than that 10 you initially outlined?
Farooq Kathwari: Kristine, as I mentioned we – it's slightly reduced actually in the first quarter. So now we are going to increase it in the second, third and the fourth quarter and I would say that between the second, third and fourth quarter we could possibly end up spending that $10 million.
Kristine Koerber – Barrington Research: Okay. So it's still pretty much on target. And then as far as I know you are not giving a lot of color on the product launch in the spring but is it or should we expect significantly I guess I am just trying to figure out how much new product should we expect come this spring and what is the timing of that?
Farooq Kathwari: The product line is going to be fairly I would say strong. It's more related to furniture products, most of them being made in north America but as we change when we talked about changing 600 items and products that we did, in our this period between our first and second and between our – between the first and second quarters, there I am talking about most probably you are talking of approximately one-third of that. And the products is going to be introduced around early spring to the consumer say by April, May is our launch for the consumer.
Kristine Koerber – Barrington Research: Okay that’s helpful and then what percentage of sales or I am just – how do I look at the on demand program. I know you were targeting at 70% of cased goods, 50% of products that would be the part of the new product that would be part of the on demand program. Are you on target there and what percentage of your sales are coming from that from on demand product at this point?
Farooq Kathwari: Yes in fact one of the reasons our inventories increased is because of the fact that we are on a plan basis putting products that we are filling our floors on the design centers to be in stock. We are – our objective is to be what I hear what you just said 70% of the product that we show in cased goods to be in stock and about 50% of the items that we show to be in stock. I would say that we would be achieving that by the end of it by the end of the second quarter and some of it in the first part of the third quarter. So this will give us an opportunity of also helping as you know we are – we have launched a new website so it is very, very important that a website also helps sell our products through our e-commerce as well as driving traffic into our design centers. So the in stock program that’s on demand really is the in stock program should help and for our sales that concerns the two aspects to it; we are seeing some increases in sales keeping in mind that only a portion of our products right now is on demand or in stock that is shown in our stores but what's it's really doing is this, it's helping sell our custom products because that’s really what is the great competitive advantage that we have. When people come in, they ask what's in stock, we show them and as human nature is we see that 80% of them migrate to our custom products because we are shipping our custom products in record time. So in stock is going to increase but I have – I believe it's going to help us sell our custom products as well.
Kristine Koerber – Barrington Research: Okay. That’s very helpful and then just roughly quickly and I know in the past I think it was last year you were trying to catalyze on the Holiday gift giving business. I know it's not typically your business. Are you doing anything differently this year to try to get some of that business in your doors?
Farooq Kathwari: Kristine, we are but I think our focus is on more of those areas where we are at the stage of competitive advantage, media, those kinds of products where we have an advantage, where we can make them that’s what we are going to be promoting this…
Kristine Koerber – Barrington Research: Right. Thank you very much and good luck.
Farooq Kathwari: Thanks Kristine.
Operator: Thank you. Our next question comes from the line of Cristina Fernandez from Telsey. Your question please.
Farooq Kathwari: Hi Cristina. Good morning.
Cristina Fernandez – Telsey Advisory Group: Hi! Good morning Corey and Farooq. I wanted to see Farooq if you can talk about the quarter and whether there were any noticeable changes in either customer behavior, traffic or by category that you can call out are relative to the last quarter or two?
Farooq Kathwari: Yes Cristina, we do see that customer behavior is being impacted to some degree with all the news that they are hearing. I mean you know our 24 news kills people. Then the Wall Street doesn’t help with the direction of the stock going up 200 points one day and the next day coming down. All of these things does concern consumers. And we do see from week to week when those kind of -- take place, I get the report from our retail network, people, having said this, most of them most of at the end of the day end up closing and you know lot of the business we do close at the end of the month. I think there is somewhat of a concern among consumers in what is taking place with all the news that we hear about the world and economy. So I would say as I said, I mentioned in our press release that we are cautiously optimistic I would say the mood of the consumer is also cautiously optimistic.
Cristina Fernandez – Telsey Advisory Group: And can you clarify with regard to the spending of for the story models, how much of that total spending that you have planned was done here in the first fiscal quarter versus what it's going to be – what taking place in the second quarter.
Farooq Kathwari: I would say that half of it was done in the first quarter because some of the larger projects like Manhattan, we are in the process of doing some major renovations. I know you folks in Manhattan in two, three weeks time you should go there and take a look at it and similarly some major changes are taking place in our number of flagship design centers in Chicago, Southern California, Northern California, Atlanta and other places. Lot of that is going to take place in the second quarter and some will go over flow to the third quarter. I would say we are 70% there with what we have spent so far.
Cristina Fernandez – Telsey Advisory Group: Okay. What was the total spending for the remodel I think I know I think a couple of months ago you had mentioned that this year you are going to spend 9 million more in capital, how much of that was allocated to story model?
Farooq Kathwari: I think that it's little bit too early Cristina, let us get little bit more information and we will share with you in the next quarter.
Cristina Fernandez – Telsey Advisory Group: Okay. And then just one last, on your website I think we have all noticed the new landing page and the look of the website, and nice and different, is there anything that you can tell us about this new – is there any new functionality in the website that it's maybe not apparent to us whether to the consumers or your interior designers that would enhance through this upgrade?
Farooq Kathwari: It is great, great, of course keep in mind it's work in progress, we just launched it and it has been well received but Corey how much given four or five important characteristics of the new website. Corey has been deeply involved with it.
Corey Whitely: Yes we have really taken the site and made a focus of making it easier to navigate. So the whole navigation to the site is much more streamlined and that enables people to quickly get to the information and product information that they want to get to. We have also upgraded all of our imagery on this site. So every digital image for the most part has been done showing the product in a much better presentation and format. We have also made the site now what's called the responsive site design and that makes the site viewable on any device and specially that becomes important on mobile and in the past we used to have a separate mobile site and this responsive design really structures the site so it has the same content across any device that the customer is looking at. The path to purchase is much enhanced on this new site version and the check-out process is become much more easier. We have also taken the customization tool and re-skinned it so that it's much easier process flow and little bit more intuitive for customers that want to do that while at the same time making the in stock product much more visible on the site and that allows the customers just to quickly buy something put it in their cart and not have to bother with customizing for the stock finishes or the stock fabrics. And then but we are still going to be launching in our second phase in a few weeks. It would be our additional features, start layering chat, live chat and then also feature I know we also have the gift that will be phasing in as well. And then we have a few other phases beyond that. So a lot happening with that every day. We are doing about -- every other day on the site yet and we will continue at that phase for a little while.
Farooq Kathwari: Thanks Corey.
Cristina Fernandez – Telsey Advisory Group: Thank you. Very helpful.
Operator: Thank you. Our next question comes from the line of Barry Vogel from Barry Vogel and Associates. Your question please.
Farooq Kathwari: Hey Barry, good morning Barry.
Barry Vogel - Barry Vogel and Associates: Good morning. How are you today?
Farooq Kathwari: Thank Barry
Barry Vogel - Barry Vogel and Associates: I noticed in the press release that you said you are going to have 600 new items before introductions and I hadn’t seen a number in all these years about how many items you are introducing in the fall. So it got me that to ask you is this a significant increase versus other fall introduction or is that normal?
Farooq Kathwari: No Barry, this is major change. You know in the last year we spent time in reviewing our product lines. We got our own designers. We retained designers from the outside and we looked upon this whole question of in this fast phasing world how do you remain relevant whether it's technology or whether it's an offerings and what's happened is which is that and we are on competitive advantages, great quality, great design, tailored, finishing but also relaxed. People today want to like in the clothing, they want great style but wants to be relaxed. So this products that we are introducing 600 reflects. Out of the 600 products there are many that were in lined but we changed the finishes but for our design centers it really meant just a new product. It included I would say that what we have introduced this time was most probably at least 60% to 70% larger than we have done in the past.
Barry Vogel - Barry Vogel and Associates: Thank you. And I have a couple of questions for Corey. Corey can you tell us what your expected capital expenditures will be this fiscal year and your D&A this year.
Corey Whitely: Yes we are thinking that the capital expenditures would be right around that 28 million, 29 million range which is about 10 million – 9 million or 10 million ahead of what we had in the capital expenditures last year.
Farooq Kathwari: And the D&A Corey?
Corey Whitely: That will probably be right around I would say 18 million to 20 million range.
Barry Vogel - Barry Vogel and Associates: Now if we look at the refinancing, can you tell us what the interest rates are on the revolver and the term loans and how much of your interest – how much interest savings will be accomplished in fiscal 2015 for the year?
Farooq Kathwari: Corey I don't know how much of that we can disclose but Barry just let me tell you this that obviously we are paying which is public 5% and 38% on these notes that we have and the interest rates today of course is on our revolver as well as the term loan and substantially lower than that. And that’s why when I answer the question earlier the difference between what we are paying and what we will finance using some of our own money we would end up by saving $3.5 million and $4 million.
Barry Vogel - Barry Vogel and Associates: So the P&L will benefit by about $3.5 million and $4 million for the fiscal year?
Farooq Kathwari: That is correct. That is when we redeem the notes. Our notes we have a make whole provision that’s why we are waiting because if we redeem them we got to pay the interest to the maturity and there is no hurry for us to do that.
Barry Vogel - Barry Vogel and Associates: Okay and you won't tell us how cheaply you are refinancing in terms of rates.
Farooq Kathwari: Well we work very hard to make it very, very competitive.
Corey Whitely: Barry on -- that’s out on the website. They have a lot of that detail for you.
Farooq Kathwari: Barry it does, okay. So Barry we are already disclosing it.
Barry Vogel - Barry Vogel and Associates: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Justin Bergner from Gabelli & Company. Your question please.
Farooq Kathwari: Yes, hi! Good morning.
Justin Bergner – Gabelli & Co.: Good morning Farooq, good morning Corey. Most of my questions have been answered. Just a couple one-offs our international sales accretive to your wholesale operating margins or wholesale gross margins?
Farooq Kathwari: Yes, they are because of the fact that that all our wholesale business that is done especially to our licensees are immediately reflected in our sales and its impact positive on the gross margin.
Justin Bergner – Gabelli & Co.: Okay but your actual results little bit better than the broader wholesale.
Farooq Kathwari: No, it’s about the same. I would not say it’s better because our wholesale prices of the same where they just our international count or to our domestic?
Justin Bergner – Gabelli & Co.: Okay. Was there anything unusual with respect to manufacturing, helping the wholesale operating margins this quarter that might not continue into future quarters?
Farooq Kathwari: I mean the issue really is that as long as we continue to have strong volumes because our manufacturing does benefit from volumes, it covers their overhead as the volumes continue to hold up or increased we have an opportunity of leveraging that more in our manufacturing.
Justin Bergner – Gabelli & Co.: Okay, great. And then the final question was just on the sales excess real estate, what was that excess real estate you have more excess real estate and how much cash might it be bringing in the door?
Farooq Kathwari: The overall cash that we got from the sale of the excess real estate was little over $4.3 million or so and over the last few years these excess real estate represents some of the design center that we have relocated, consolidated and also represents some manufacturing and distribution facilities. Fortunately most of them is behind us but a few more are coming up as we do that we have enabled to sell them and I obviously based on our book value some of them we sell at a loss but we do get a positive cash flow.
Justin Bergner – Gabelli & Co.: Great. Good luck in the December quarter.
Farooq Kathwari: All right. Thank you.
Operator: Thank you. Our next question comes from the line of Dillard Watt from Stifel, your question please?
Farooq Kathwari: Yes, hi. Good morning.
Dillard Watt – Stifel: Thanks, good morning gentlemen. I guess maybe probable a question maybe for Corey, I was wondering if you could help us just kind of parse out what the sales impact might have been from shipping, new products into the retail stores and then would I guess kind of the difference might be between, what’s the new product was in terms of the impact of sales versus kind of underlying sell through to customers
Corey Whitely: Well Dill it’s certainly retail business drives the wholesale business. So that had a strong impact on wholesale. The new product also boosted wholesale and -- you did see high, one of the stronger wholesale quarters within the last four quarters. So the 10.1% net sale increase was very strong and benefited from the new product introductions but it also benefited from the retail as well.
Dillard Watt – Stifel: Do you have any type of maybe quantification of what the wholesale benefit from new product might have been?
Corey Whitely: No we don't have that as displayed out that way.
Dillard Watt – Stifel: Okay. Alright. Thank you very much guys. Good luck.
Operator: [Operator Instruction] Our next question comes is a follow-up from the line of Jeremy Hamblin from Dougherty & Company. Your question please.
Jeremy Hamblin - Dougherty & Company.: Hey guys thanks for taking just a quick follow-up here. Two things; one did you disclose Corey what the ending retail backlogs percent was? I know last quarter it was down 4.7% I was just curious where it came out in September?
Corey Whitely: Yes on September the backlog is interesting certainly it was up by 11.5% from sequentially from Q4 and if you compare to prior year, it was down 5.3% but as Farooq mentioned, our manufacturing has record delivery cycle times right now with how fast we are able to move product through. So the production capabilities of our manufacturing have an impact of how much backlog we carry at any one time. So it's little hard to, sometimes, get a read on that number for your models].
Jeremy Hamblin - Dougherty & Company.: So you are saying it's not particularly relevant number just because of the change in improvements and timing on delivery?
Corey Whitely: Yes it changes quite a bit with the timing of delivery than our cycle times of manufacturing. Manufacturing has really been doing well in ramping up their capabilities so they have some intact but we did see it increase over where we were last quarter sequentially yet down where we were last year.
Jeremy Hamblin - Dougherty & Company.: Okay and then just one of the follow-up when you are going through the store, the changes in real estate and store openings relocations etc, it looks like you are down 4 stores on company owned basis and you are actually down I am sorry you are up one store on the independently owned basis in total. How should I think about that over the course of the rest of the year, will the company owned stores continue to slightly drift down and then you are independently owned slightly drift up or how should I think about that?
Farooq Kathwari: Yes, Jeremy if we take a look at it as we have reported we had 294 design centers and it was three lower than what we had the previous year. The retail division had four less that is 143 but today the important thing is this that in the retails division we have been relocating and consolidating wherein some cases we have tools design centers to consolidated them into one. In Cleveland, since we have three we consolidated in one over a period of time just recently in New Jersey we had two we consolidated them into one. So we are looking at, the consolidations are important because if we can increase our productivity it’s good for our designers, it’s good for our people, to answer your question at this stage I think the numbers that you see in terms of the company I think our total number would more or less stay the same or slightly, there will be a change, we’ll close down, we will open some. I think we are able to see more increases in our independents mostly international.
Jeremy Hamblin - Dougherty & Company.: Got it. Thank you so much.
Farooq Kathwari: All right.
Operator: Thank you. And this does conclude the question-and-answer session of today’s program, I would like to hand the program back for any further remarks.
Farooq Kathwari: Well, thank you very much. And good, I’m glad that we had this opportunity of giving you our perspectives, it has been a good quarter but we’ve got a lot of, lot of work in front of us and I think the next year, two years is going to give us an opportunity of differentiating as I said earlier our model is different, we don’t go out buy the products and then hope to sell it. And there you can also increase your sales, in our case we have decided that we are going to make the products. We got to make sure we have the capacities to do that. And we have in the last 2-3 years spending a great deal in fact last five years in not only consolidating now growing our deluge to manufacture. We have invested a great deal in our design centers, in new products. So I believe that as we go forward we will continue to increase but we have to keep in mind we have to balance with what we sell and we can service, so we cannot overdo in selling and not service it that’s what we got to be that’s the perspective and that’s what differentiates our business but that also means better control in expenses, better control of inventories and better control of cash. So thanks very much any further questions please get in touch with Corey.
Operator: Thank you ladies and gentlemen for your participation in today’s conference. This does conclude the program, you may now disconnect. Good day.